Operator: Good morning, everybody, and welcome on this cloudy day here in Amsterdam for the H1 2021 Results of Wereldhave. Today, here I am with Matthijs Storm, CEO and Dennis de Vreede, the CFO, who will give a presentation on the results and the disposal of course of the portfolio in France. First, the presentation, later on there will be the option to -- for a Q&A session. And with that, I would like to hand over to Matthijs. Matthijs, please go ahead.
Matthijs Storm: Thank you, Ruud, and good morning, everyone. Exciting day for us, not only the results, but as Ruud already mentioned, we made progress with regards to our strategy and in particular the French disposal. So this will certainly be a topic that we will discuss further. Let me skip a couple of slides and go straight to the key messages of today. I think, first of all, most important to us is that we have sold four out of six assets out of our French portfolio for the amount of €305 million, we'll get back to that later. Secondly, as we already reported earlier, we sold the last shopping center in the Netherlands that we had for sale, the Koningshoek in Maassluis, above book value, so the Dutch disposal program is finished. If we look at our loan to value, which is important to us, when we launched a new strategy about a year and a half ago, we said we target an LTV range of 30 to 40%. With the news that we announced today, we will reach a pro forma LTV of 42%. So that's certainly a step in the right direction. When we look at the indirect results, valuations in the Belgian portfolio have been stable for a long time. But in a Dutch portfolio, of course, we faced significant write downs over the last couple of years. For the first time in nine valuation rounds, we have a pretty stable result in the Netherlands with regards to valuations. This is adjusted for the 2% increase in transfer tax, which is of course a one-off and holds for all the companies with commercial property in the Netherlands. When we focus on the direct result per share for 2021, we previously had a guidance of €1.80 to €2. And despite the €0.13 negative impact of the French disposals, we only lowered our outlook a little bit to €1.75, €1.85. And that's why we also mentioned that the guidance would have increased if we had not sold the four French assets. I think that's important to amplify, because I know that in some of the analyst comments that this was not entirely clear. So that's why I like to re-emphasize this again. The outlook for the direct result 2022, this is something that we already mentioned in February 2020, when we announced a new strategy, our true-up direct results will be €1.40, €1.50. And again, having sold four out of the six French assets, we can repeat this guidance. After 2022, we expect 4% to 6% annual earnings growth. Lastly, because we're selling the four French assets today, our financial situation and Dennis will tell more about that later, has improved significantly. And this is also why we can confirm to pay at least, so this is minimum, €1 per share dividends next year. So that will be a final announcement in February 2022, but it's got to be at least a €1 per share. After that, just as of 2023, we will start paying 75% to 85% of direct result per share, which is our normal dividend policy. If we then go to the next slides, the highlights for the first half of 2021. If you look at the direct result per share, you'll see a small drop of about €0.04. I think this is logical, because we sold five Dutch assets in this period, which is the main reason for the drop in the direct results per share. You will see from a like-for-like rental growth perspective, we have a positive number. The indirect results, the valuations we will get back to later in the presentation. Also important to mention that our NPS score, the Net Promoter Score, which is an important parameter for our new strategy has increased significantly to plus 16 from plus 4. This is mostly driven by a lot of new concepts that we've launched amongst others the points in several shopping centres in Belgium and in the Netherlands, but also connect several of our customer journey initiatives and also our pop-up concept of next. I think those have been reasons why we've been able to increase the NPS. If we then go on to the numbers, the like-for-like rental growth, I don't want to spend too much time on that. Of course, it's very much distorted by the COVID situation. Please bear in mind that in the Netherlands in the first half of 2021, the COVID situation was more heavy than in the first half of 2020. We have for several months in the Netherlands forced shop closures, which was not the case in 2020. So that's the reason why the Dutch figure is negative 9.4%. Overall, still, we have a nice 2.5% positive life-for-like rental growth. Now we move on to the disposal program. Of course, I think the key news of today is the fact that we've sold four out of six French assets. You see here on this slide number 9, the four assets that we've sold. Gross proceeds of €305 million, including €5 million of estimated CapEx. But I think if you look at the conditions of the deal, what is very important here, we haven't provided any rental guarantees. There are no CapEx obligations for us as we able to have post the transaction date in September. And we didn't provide any vendor loans or other kinds of arrangements that you sometimes see in transactions. It's a very clean deal. We realize it's a significant discount to the book value. But I think it's important to mention that the conditions, the order conditions in the deal are in our favor. Again, the closing date of the deal will be 30 September 2021. And the cost savings related to this deal, because this is important to mention, we will start to wind down our French platform, towards the end of this year, so the cost savings will start to kick-in as of 2022. The use of the proceeds also important to mention is repayment of the debts. Of course, we target the lower loan to value. But Dennis will get back to that later. And investments in our strategy. And this is a very important thing to mention from my point of view. Because until this moment, I think regarding LifeCentral investments, we have been cautious and conservative. Of course, we have invested in the portfolio and in the transformations. But this deal in itself for us is transformational, because we can now allow and speed up the transformation projects in our portfolio. If we then look at the impact of the transaction on our key metrics, loan-to-value goes down by about 4% pro forma from 46% to 42%. We're not there yet at our target. But Dennis will mention later how we think we will get there. But I think this is certainly a step in the right direction. If you look at our outlook for the direct result per share, again, as I mentioned in the beginning, it's a little bit lower but adjusted for the disposals, we would have upgraded our outlook for the full year. And of course, there is a significant negative impact on the EPRA NTA per share, which is driven by the 39% discount to the book value implies by the French transaction. Then the question is, what do we have left in the French portfolio, two shopping centers and we are actually happy that we sold this packets for four why Kortrijk in Argentina in Paris and Mériadeck in Bordeaux are two of the smaller assets in our portfolio, particularly Kortrijk is a shopping centre that really caters to the local catchment area. So it is I would call it a convenience shopping centre. It has a 96% occupancy rate as you can see, since the only shopping centre the occupancy has never been below 95. So this is certainly an asset that we would like to keep outside the so portfolio. Mériadeck in Bordeaux has been a little bit more challenging in the past, but you can see we've been able to increase the occupancy to 96%. At the moment, the footfall of the shopping centre is still impacted by a lack of office workers in the district and also to an extent a lack of tourists in Bordeaux. We think that will gradually recover in the coming months and it will be swiftly be a good moment in time next year to sell the shopping centre. Again, because we've now done the deal with the other four assets in France, we're in a much better position to sell these two shopping centers so we can time them rightly. Quickly on the in the Benelux disposal program, which is now finalized. As I mentioned, we sold according to [indiscernible]. You can also see that on the next slide, some details about the shopping centre. This one, we sold slightly above the book value. So I think that's a good deal for us. Then, finalizing all the disposal sites. If you look at our strategy, what you look at here on this slide number 14 is the management agenda that we set out in Feb 20, for the years 2020, 2022 and what you can see is that we now made significant progress. In France, four out of the six assets have been sold. The divestment program in the Benelux is fully completed, and restructuring the balance sheets on our way, we’re now at a 42% LTV. So with the final disposals in France, retained earnings from gains from the residential side, we will certainly go within the range of 30% to 40%. And we think we could actually be there before year end 2022, which was our initial target. Then we go to the results themselves. If you look at the operations in the first half of 2021, here you see the three countries. I think if you look at the total leasing volume 5.5%, that's better than last year when we were at 4.8%. So that's an improvement. I think France and Belgium has done a really good job here. In the Netherlands, the leasing volumes were a little bit lighter than last year. Having said that, I think if you look at the leasing volumes, particularly first year fee, again, plus 3.8%, that's positive. That's a good sign. And also from an occupancy perspective, we're now with almost 95% for the shopping centers, which is an improvement of 60 basis points versus the last quarter. With that slide, I like to hand over to Dennis.
Dennis de Vreede: Yes. Thanks, Matthijs. So I'm at Page 17. And that is about the rent collection. I think rent collection keeps being on the forefront of our agenda, given the COVID situation. So what you see here on the left hand side really is the footfall growth. We see strong rebounds when the government -- government's -- their respective governments are easing basically the regulations. So you see that keep coming back basically, very steeply as soon as the COVID restrictions are eased. On the right hand side, you see the rent collection for the first half of 2021, which is ending for the group at 84% with quite some differences between the countries, and especially France is sticking out there. And that is because the market is basically waiting for EU approval of the government basically subsidies for the larger retail tenants in France. As soon as that is clear, we believe and we receive indications from our tenants that they will start to pay their rents over the first half year in a better manner. A little bit more detail on the rent collection on the second two slides, basically. The invoice rents have been received for about 80%, 20% is still open. That represents about €23 million. From that, we have taken almost €8 million provision. We have been providing over €4 million of discounts on that same piece. So what do we need to collect, that's about €11 million? And on the next page, that is in a water flow chart represented basically again. So out of the €18.7 million, which is under negotiation by the end of the first half, we have taken a almost €8 million provision given then that we need to collect about €11 million as the remaining part of the first half year. But if I look back, at the end of last year, I believe we were around this €7 million, a little over €7 million if you had to collect. And in the first half of this year, we have been collecting a little bit more even than that €7 million. So we were able to release some of our provisions at year end. So with that fact and the fact that we have been putting a lot of people only rent collection and the second, we do expect that the French government will be starting to provide more clarity around the government subsidies. We believe we will be collecting all of that, if not a little bit more. We have three slides on the countries, which I will hand off to Matthijs.
Matthijs Storm: Starting with the Belgium portfolio, I'm not going to mention everything of course on this slide, but I think again, as you're used to from our Belgian portfolio, very stable and encouraging results. First and foremost, occupancy rates of the portfolio, has increased to 96% of the shopping centers. If you look at the leasing examples, I think in particular [Indiscernible] stands out. And here we replaced the large fashion tenants with homeware. And I think from a from a strategy perspective, that is really important, because that is also an ambition for this shopping centre, so that that helps the strategy a lot. If you look at the footfall of our shopping centers, you can see that on the left hand side, we've outperformed the market by about 500 basis points, which I think is a very strong sign. So a good quarter I would say certainly for our Belgian portfolio. If we didn't go to France, of course, these metrics are all still including the four assets that we're now selling to lighthouse capital. Good leasing volume, I think released more or less in line with ERV's over this quarter. If you look at the individual shopping centers, some of the important lettings in the quotation in Paris and again, this is an asset that we will keep a little bit longer than the other four, where we extend it to pharmacy and signed EBITDA [ph] as an F&B tenants, in Mériadeck we signed a very large floor plates to the toys operator, Kingsway. And in Docks Vauban, we signed a food anchor leader, which has also certainly helped the transaction that we announced today. If we then go to the Dutch portfolio, what you see here, as I already mentioned a little bit lower on the leasing volumes, but a very encouraging plus 9% versus ERV. And what is certainly very important in the Dutch portfolio is that we signed a large package deal with all the H&M and Mediamarkt stores in the Dutch portfolio. So you will see later in the presentation if you look at our larger fashion and electronics tenants in the portfolio, and of course, these are segments that are challenged by e-commerce, you will see that in the Benelux we've extended all the leases with our major tenants. So that's important also for our strategy. In Tilburg, very important leasing of the former Hudson Bay building, entire building was leased to the Courtrai, which is a local fashion formula, which I think is very encouraging, particularly the fact that we didn't pay any tenants incentives here, so also financially for us a very good deal. Lastly, to mention in Presikhaaf in Arnhem, we've extended our healthcare plaza. And this is important, of course, in the life central strategy where we are implementing mix in the portfolio, we signed a laser clinic dietician over the last quarter. And then I hand over to Dennis for the direct results.
Dennis de Vreede: I'll just go on to the direct results on page 23. Thank you, Matthijs. Well, the header is telling it, we see that the direct result has been impacted basically very negatively by the disposals. We've explained already those Benelux disposals and there on the bottom left-hand corner, clarified, if it wasn't for those disposals, our direct result per share for the first half year would have been about $0.10 better. So now we see that we are $1.1 million lower compared to the first half of 2020. Besides the disposals, I think it's important to show that the Netherlands has still been battling, I would say in the first half year with a number of bankruptcies. In the portfolio, we've also seen some negative rent reversions on some strategic, I would, say a deals we have been doing in the Netherlands with some tenants. So that explains I would say the minus $2.5 million for the Netherlands. However, like I said before, in Belgium and France, we've been benefiting from the fact that we've been collecting in the first half of the year, a lot of rents out of 2020, which has been helping, which have been driving the positive NRI results in both countries. Next to that, I would say in Belgium, we've seen a slight, let's say negative NRI on the shopping centers and a little bit of negative on the offices. On the right-hand side, I think the interest of $1.2 million, which is better than last year is basically explained by the fact that we've been using our disposals of course to pay down debt. If I just move on to the next slide, cost efficiency. This is a slide you've seen before. Matthijs just mentioned already, the phase out, out of France, which has been started basically now, we will be completing the transaction on September the 30th. And I would expect that we will be starting to save costs, of course, in 2022. And obviously, after we've sold the two remaining assets in France, we will be saving additionally, on our French costs. Below that, we are looking, we're exploring another office for our headquarters based in on Schiphol in Amsterdam, which should result in a 4,000 per year saving, starting, hopefully somewhere in 2022. And I think the next, the next thing I just like to say here is that, we have now the funds available to really start accelerating our LifeCentral program, which also means that we will be exploring opportunities over our face to our growth face of LifeCentral. If we are able to execute on that, obviously, we will be more cost efficient as well with a larger asset base. On the outlook 2021, Matthijs mentioned already. We believe our direct result per share will come out between 175 and 185. That is a little bit lower than the previous guidance, but that is completely caused by the fact that we will be losing four French assets as from September 30th, which has a 0.13 impact per share. Or in other words, our direct result per share guidance would have been better than the previous guidance, if it wasn't for those four assets. So, it's important to understand also on the left hand side some assumptions, we are assuming no further complete lockdowns during the remainder of the year. We have built in some conservatism in our forecast, I would say in the second half of the year. But that's not including obviously full lockdowns in any of the country. Matthijs already repeated our trough direct result per share is still at 140 to 150 for next year. And for this year, we will be paying, €1 per share, as a minimum. And we will be announcing that in February. The NTA obviously had a Net Tangible Assets, that has been, that has declined. And obviously that is the result of the negative indirect result. The negative indirect result of 179 per share or about €74 million is caused by I would say, two main items. The one is the negative revaluations of about 57 million. And I'll get back to that on the next slide. Out of that 57 million, around 16 million was caused by the fact that the Dutch real estate transfer tax has been increased from 6% to 8%. And in that same 74 million, there's also a result on disposals, negative result on disposals of around 14 million, which was caused by the earlier disposals of de Bogaard and Etten-Leur. Moving on to the revaluation, I would say, at the very bottom of the slide, you can see that 57 million and negative revaluations for the full year, again, much lower than we've seen in the previous years. We've also seen that the Dutch evaluations are stabilizing somewhat. We also see that EPRA net initial yield of the Netherlands is, is decreasing is compressing a little bit by the fact that we've been selling a few assets with higher yields. And out of the 32 million of the Netherlands negative revaluation again, about 16 million is caused by the fact that the real estate cipher text has been increased. I am moving on to the next slides and I'll hand it over back to Matthijs.
Matthijs Storm: Thank you, Dennis, shortly a little bit more color on the on the valuations. If you look at this slides valuations are stabilizing and why are we mentioning that, I think it's mostly important to mention that for the Dutch portfolio, I think for the Belgian portfolio as you can also see in the chart on the left hand side, where you see the brand net initial yield. It's been relatively stable, but again in the Netherlands, for the first time in nine valuation rounds. We have actually a little bit lower yields for the Dutch portfolio to an extent that's driven by the fact that we sold some higher yielding shopping centers, but it's also driven by the fact that for some assets, we noticed yield compression and that is also for the first time in nine valuation rounds. So that's an encouraging sign. I think it's also logical. We've mentioned this earlier in press releases because the Dutch retail investment markets is clearly rebounding since the beginning of the year. And I think the fact that we’ve sold all of our five assets that we held for sale is, is proving that. And if you focus more in on the -- on the Netherlands this time as Dennis mentioned, the majority of the negative valuation was caused by an increase in transfer tax. And if we look within the portfolio, we see that the smaller mid sized more convenience assets, they actually showed some yield compression this quarter. And we think the outlook for those assets is particularly strong from a valuation perspective, if I look at the deals that are being done in the market at the moment. Our for larger assets in the Dutch portfolio, they still noticed a small valuation decline. But again, if we look at the high initial yields, almost 7% that we're talking about, including the fact that from an ERV perspective, again, we leased above ERV, we certainly feel that we're reaching a trough from a valuation perspective. From an earnings perspective, the trough will be next year had direct result per share 2022, 140 to 150. If we then focus on the strategy, quick reminder to -- about a year and a half ago, we presented the slide that you can see here on the left hand side on page 29, what we what we told you, in our strategy is that we believe that once we have fixed a shopping center, so we turn a traditional shopping center into a full service center, we think it should trade at a lower cap rate. We think one reason why retail yields are significantly higher than other property types in continental Europe, is because there are issues of course with retail. But once you fix those, we think yields should come down. You see on the right hand side, the current net initial yield of 6.1% for our Benelux portfolio, so this is ex-France. We think that after completion of all the transformations, our yields will have come down by about 60 basis points to 5.5%. If you put it in perspective on the on the bottom right of this slide, we think we will invest about €90 million to €110 million of non yielding CapEx. But if we are right about this yield compression, we will create €180 million to 220 million of value. I think the good news of the first half of 2021 for us is that, we actually saw the first pieces of evidence. As you can see on slide number 30 and that was in our Belgium portfolio in n Courtrai, we are working on phase one of the full service center transformation that nets initial yield went down by almost 30 basis points. In the Liège, we saw 10 basis points yield compression. We finalize the first phase of the transformation. So we're certainly nicely on our way of getting there. In 2022, we will deliver more full service centers as you can see on the slides Presikhaaf in Arnhem, Sterrenburg in Dordrecht and Tilburg. And again, we expect yield compression accordingly, which should underpin our strategy. With that I like to hand over back to Dennis for the capital allocation and the finances.
Dennis de Vreede: Yes. Thanks, Matthijs. So few slides on the capital allocation and financing before I hand it back to Matthijs for LifeCentral and the concluding management agenda. On the next page on page 32, Capital Allocation. I keep repeating myself, we are working on building a very rock solid balance sheet. I mean, we keep working on strengthening our balance sheet. We believe that the targeted LTV of 30% to 40% by the end of next year is a very realistic. We have been disposing assets as we promised to you back in February last year already by finalizing the Benelux program, and by now able to sell four out of our six assets in France. We will be investing in our LifeCentral strategy. I think Matthijs and I have been repeating that we believe that is the future proof portfolio which should create a long term value creation for the shareholders. On the Dividend side, I have already told what we are planning to do. If I then zoom in on our LTV development, I think, it's quite clear that the French disposal has a very positive impact on our pro forma LTV, where we ended the first half of 2021 on 46.1%. This will have 4% impact so as we bring us closer to the 42%. And by the end of next year, again with additional two disposals in France, which we are targeting, by of course, the retained earnings, by some residential gains we are foreseeing and potentially by some equity backed acquisitions. We do believe that we are in a position to bring down our LTV to a healthy number between the 30% and the 40%. That should obviously also allow us to execute on our dividend policy in a sustainable way. And it should also reduce our vulnerability to potential revaluations. On a debt profile the next page, I think, this already is showing in our numbers that we are further paying down debt with about 132 million compared to last year, which is a result of obviously of our disposals. We are at 46.1% LTV, which improved from 46.7% by the end of last year. And we increased our debt maturity from 3.4 years to 3.7 years by some of the refinancings we did in the first half of this year, which are visible on the left hand side of this page 35. 202 million in new and refinancing activities we did in the first half of 2021. I'm not going to mention them all out to you. We have issued separate press releases on that. But I think with these new finances, and of course, also the fact that we've -- we will be receiving the full payment from the buyer in France at the end of September. Our liquidity is now secured until the first quarter of 2024, which is basically visible on slide 36. In the first quarter of 2024, we will have to refinance our large €300 million revolving credit facility. And we are already in first discussions with our banks to understand how we're going to approach that. But as visible on this slide also, we have plenty of time to do so. I'll hand over to Matthijs for the last pages.
Matthijs Storm: Yes. Thank you, Dennis. Lastly, on the strategy, the LifeCentral progress in the first half of 2021. As you can see here, we slightly increased the mixed use developments in the portfolio again to 10.3%, target is 25%. It's a small increase but again, I think because we've been able to execute on the Dutch and the French disposals. As from now on, we can really start to push the strategy as we laid out in Feb 2020, which is important to us. On the next slide, we see a new announcement in the first half of 2021 of an existing development there. If you look back in our development tables of the past quarter you will see that Sterrenburg is not a new project. But what we did is that we adjusted this project in order to make sure it will be a Full Service Center. You see on this page 39, several elements like the fresh street, multiple F&B tenants that will enter the center and also from a sustainability perspective, the targets to reduce the carbon emission by 30% by 2030. That's also new in the project. All-in-all, €24 million off CapEx and a very nice unlevered IRR of 6.4% nicely above the 6% unlevered hurdle that we set out about a year and a half ago. Sterrenburg, Dordrecht is now a Full Service Center project and will be delivered in 2022. Then a short recap of what we laid out in the in Feb 2020, and also what we reconfirms about six months ago. We think actually that the COVID-19 situation as we have it today. Of course, no one knows exactly what's going to happen. But if you look at the impact on the strategy that we laid out, we think the COVID situation actually reconfirms the strategy. I think we have the right strategy to deal with the challenges that come from COVID. If we then zoom in on slide number 41, on different categories in Belgium and in the Netherlands. And I'm not going to read it all out, of course. But I think it's important to realize this, because we get a lot of questions about this. We identified starting with the Belgium portfolio, the particularly the three categories at the bottom, shoe and leather wear, mobile phones, electronics/multimedia, and also multi-brands fashion are the categories that could be at risk. What you see on the next page on 42, we zoom in a little bit closer on those categories. You see, for example, what the voltage to the first break, but also to the contract ends. But we also mentioned here the percentage of red flags that we have identified. What does that mean? For every individual shopping center, we have labeled each individual tenant's red or green and the percentage red flag's obviously is represented by the different categories is a result of all those blueprints analysis. If you focus in, for example, in the Belgium portfolio on the brand stores, we think is actually a low risk. Why do we say that, because we recently extended the rental contracts for the entire portfolio. So that is all secure now. One final thing to mention, if you look at fresh and multi-brands in the Belgian portfolio, that's about 3% of our rents. That is typically the kind of space that we would like to transform to other users such as resi, offices, healthcare and so on. We've done the same analysis for the Dutch portfolio. You can see the four categories at the bottom of slide number 42. But I'll skip straight on to slide number 44. If we do the deep dive for those categories, you see that multi-brand fashion is certainly here. Again, like in the Belgian portfolio, the category at risk for us. This is about 5% of the rent, but the story is the same as for the Belgian portfolio. Also, here within the brand stores, I think we have a little more risk than in the Belgian portfolio. But also here, we've extended the contracts amongst others with H&M, as we already mentioned earlier, within multimedia electronics, again, we extended with Mediamarkt in the first half of this year. So that's also done and sealed. And lastly, within shoe and leather wear. I don't think that, it's a matter of space, it might be a matter of rental levels in this category. But this is something we factored it into our strategy. So I think it's important to realize all of you that there are certainly issues with some of the categories, but what we’re trying to show here is that with most of those issues we've either already dealt or is incorporated into our business plan. Then lastly, before we go into the Q&A, that management agenda, page 45. What you can see here and we already mentioned that on one of the earlier slides, I think we've made certainly with the announcements of today very nice progress with regards to our management agenda until 2022 had phase out of France is now almost completed. We have finalized the divestment program in the Benelux. The balance sheets as Dennis mentioned, is nicely on its way towards 30%, 40% LTV. And also, if you look at the Full Service Centers concepts, the conversions, the new announcement of Sterrenburg, the organizational changes, and also the improvements from a CSR and ESG perspective, I think we made very nice steps also in the first six months of this year. And it's our expectation that we will actually be able to finalize this agenda before the year end of 2022. And I think that's part of the good news of today. I think with that, Ruud, we can open up the floor for questions.
A - Ruud van Maanen: All right. Dennis, do you want to…
Dennis de Vreede: Yes. The first question is coming from Niko from ABN. And I'll read the question out. Can you comment further on the disposal process for the for assets sold now to Lighthouse Capital? How much better was the offer yourself from Lighthouse versus the second best option? Also, earlier you had indicated single asset disposals would have yielded higher pricing, was Lighthouse one of the potential buyers that had already looked at the portfolio previously in early 2020? Is it likely we can expect perhaps one or two additional disposals in the Dutch portfolio in 2022? Given the pricing of the French disposals, just bring the LTV close and then I cannot read the question anymore. But I assume given the price of the French disposal just bring LTV not close enough to the 30% to 40% is probably the question is from Niko. Good questions, Niko. Thank you for asking. Let me first say that we are very much realizing. We've been selling those four assets at a steep discount to Lighthouse Capital. So, Matthijs and I are very much very much aware of that. However, we believe in the bigger scheme of things, this was the right thing to do. We are not trying to repeat myself, but we are strengthening our balance sheet, we are now extending our liquidity until Q1 2024. So, we have no worries about liquidity. We are making funds available now to go full speed ahead with the different transformations in the full surface center area, which I've already announced earlier. So, yes, the steep discount, but on the other hand, this will accelerate the fact that we can now work much faster on rolling out our full service strategy. Were they already in the picture last year Lighthouse? No, they only came into the picture later 2020 when we were exclusive already with this other potential buyer where we ended those exclusivity in early December, that's when basically they came into play. So, we decided to go for a single asset sale. So, that's what we also announced earlier this year. However, this was the only party who was interested in four out of the six assets. So, we have been running their initial offer, basically, next to what we have seen in the market in single asset offers. And back in back in May, we decided to go exclusive with this party, given their strong interest, given the fact that they are a very reputable buyer, institutional bias listed South Africa company. So, we decided there was less, let's say, deal risk with that with his party and gulf rates. So, that's how we could conclude this video last night after closing off the exchange. Does it -- what does it mean to us? Obviously, we would have anticipated last year little bit of a higher proceeds on these on these assets. We will be focusing, of course, to maximize the proceeds on Mériadeck and Kortrijk in Paris. And we believe there are a number of improvements we can still make in those assets to maximize the proceeds. We will take our time for that, there's no pressure to us basically. And if needed, like you said, we will look in 2022 to see -- okay, do we need to sell one additional Benelux asset to bring down our LTV to the desired level?
Matthijs Storm: Yes. Next question also from Niko. And I think maybe adding to what Dennis just mentioned, Niko. I already mentioned something about Kortrijk and Mériadeck that we will keep in the portfolio. Those two assets will be sold at tighter discounts than the portfolio that we sold today, and for the reasons that I already mentioned, and also for the reasons that Dennis mentioned, that is something that you can certainly count on. I think I already got the next question, but I think we should go one backwards because I missed it. Yes. Thank you. Niko was asking, are you still aiming to keep the management in France till the end of the disposal process? Or is the intention to close the French offers and run temporarily? The remaining two assets in 2022 by the Belgian team, assuming the last two assets are sold in 2022? Good question. As I already mentioned, it's our intention to scale down the French platform significantly towards the end of this year, of course, we need to manage the assets until the end of September. Maybe we will manage them a couple of months longer, but of course, we will be reimbursed by the buyer of the French assets. So the cost savings will start to kick in, in the beginning of 2022. Bear in mind, we still have two assets left in France. So of course, we need a small organization in France to continue to manage those assets. And we can go to the next question.
,: This next question is from [indiscernible] from Kempen. Is it correct to assume trough guidance does not include rental income from France? If it does, what would be trough EPS without any French assets? That's right, our trough guidance to 140 to 150 does not include the rental income from those two assets. So we, we believe, we can make the 140 to 150 without the full rental income next year of the franchises. Next question is from [indiscernible] on the balance sheet capital allocation, how you're thinking about your current capital structure in the context that the vote at the recent AGM allows you to issue in addition, additional 10% of share capital, you are close to trading at my NAV, would you consider using equity to expatriate your life style transformation strategy or even purchase distressed assets? Do you need to exit France, before this is on the agenda? You're completely right. And thank you for the question. We did receive approval from the AGM to issue new shares 10%, up to 10%. What we didn't receive is the approval to do that, whilst waiving the priority rights. So what we can do is buy an asset and pay in new shares be able. However, what we can do is an accelerated book builds and issue new shares in the exchange for cash. Would you consider using the equity for the strategy? I think it's less likely that we will use it for the strategy itself, because then we would need to finance developments with new equity. And as you know, of course, in development projects, if you look at it from a cash flow perspective, it's pretty spread out. So that would be challenging, I think we would need to do a lot of single transactions. But I think as Den has already mentioned earlier, equity backed acquisitions could certainly be a way to fulfill two of our goals. First of all, lower the loan to value of the company. And second of all, expands the portfolio, which is Phase 2 of our life central strategy, and which is also what we have in mind. Last question from [indiscernible], do you need to exit France before this is on the agenda. But I think our hope today with the disposal of four assets and the significant cost savings that will start to kick in, we will phase out the majority of the French platform. I think this is something -- could be on the agenda after the summer could also be on the agenda and 2022 of course, it depends on the opportunities in the markets and where our share prices. But I think the nice elements of a transaction like this is that we can time it perfectly right depending on the conditions in both the real estate investment markets and also in the capital markets.
Dennis de Vreede: Yes. Next question is from Jaap Kuin. Given your LTV target, could you describe the steps required to get to a 35% LTV, when will this happen? Very good question, Jaap. I think we try to explain already in this presentation, how we think we can get there. I think by the end of this year, it will all depend obviously also on the revaluations. I mean, we can't control those. So we need to keep that in the back of our minds, of course, when making those steps to go down further in our LTV. Obviously, retained earnings will help. Obviously, we see that our AFFO for this year, the expected AFFO for this year will be higher than the minimum of one year difference we will be paying that will help. Matthijs talked a little bit about the potential equity backed transactions that could help -- that could be accretive to our EPS, could also be helping our LTV to push that further down, if we can successfully do that. The two assets in France will help us to bring down LTV to that required level. And then lastly, we are prepared to look into selling one or two more Benelux assets if we can't get there. So those are the main steps to get down to this 35% LTV.
Matthijs Storm: Another question from Niko, can you comment on The Sage concept further? Is your intention now to roll out the concept across all the Full Service Centers that you intend to keep in the long run. For those of you who haven't read the entire press release, The Sage is our new office concept that we launched in the Belgian portfolio. Niko, we don't have that many offices in the portfolio today. Yes, we have a business parking field forward in Antwerp, Belgium, field is outside to Brussels, where we indeed we’ll roll out The Sage concept, we're actually doing it, we're already on our way. But indeed, if we integrate offices into a Full Service Center, it's the ID, that's The Sage concept will be part of it. So you are right. It both helps our Belgian office portfolio, and it could potentially help in the future, the locations where we consider offices in our portfolio. Liège, Belle-Ile, for example, is one of those locations. Question from Herman van der Loos. Did in Kortrijk, the yield compression compensates the CapEx expense. I'm happy you asked so Herman, because indeed it did. I think there's a very small shortfall of a couple of €100,000. But the non-yielding part of the CapEx in Kortrijk was almost fully compensated by the yield compression, which is our strategy. Another question from Herman, can you please -- yes, you want to go for…
Dennis de Vreede: Yes. I can take that Herman. Could you please elaborate on the secured lending amounts and the underlying collateral? So at this point in time, Herman, and basically this already stems back from 2020, of course, we have only one secured loan, which is the green RCF, with ABN AMRO of 120 million. We have three Dutch assets underlying, three core Dutch assets where we believe they will be part of our long-term portfolio underlying, representing about a 50% LTV on those three assets. And that's it. So there's not more on the security side. The rest is all unsecured, no collateralization. And by the end of this year, early next year, we will be, of course, looking into the future capital structure of the company, as we are then approaching basically the end of 2022, early 2023, when we need to refinance the large 300 million RCF, which is due to expire in the first quarter of 2024. So again, we started those discussions already early with our banks. Now, we can do this, of course, on a much -- let's say, more solid basis, where we have secured our liquidity until the first quarter of 2024. And we are in constructive discussion, so more to follow by the end of this year, early next year.
Matthijs Storm: Maybe one additional comment, Dennis, Herman on this is that, I think if you look at the discussions that we have with the banks, the fact that we now do this French transaction is certainly helping. I think if we were to decide to be unsecured for the coming years, then the deal that we announced today plus the Dutch disposals are certainly transformational as well. Another question from Herman, equity backed acquisitions, do you mean, be able to have stock or also be able to have a Belgium stock as the latter is looking to expand its portfolio and dilute value. That's correct. For those of you who don't know, and Herman, of course knows this issue very well. In Belgium, Belle-Île, our shopping centre is around 20% of our portfolio. According to the Belgian REIT regime, one asset cannot be more than 20% of your portfolio. So, we need some acquisitions in Belgium to dilute value again, below the 20% even though we have a waiver today, so there's no urgency. But it's also our ambition to expand in Belgium as per Phase 2 of the strategy. Answering your question Herman, yes, we would also be looking to use to be able to have a Belgium stock to finance in an acquisition. And then, we get to comment that was the last question so far, so maybe we give it a few more moments for the last question. No. Okay. All right. Good.
Ruud van Maanen: All right. That concludes the presentation of today. For all of you, thank you for listening and thank you for all of your questions. If your holiday is already behind you, I hope you certainly had a good one, and if it's in front of you, please enjoy it. In any case, we'd like to say make every day count.